Operator: Greetings. Welcome to IDW Media Holdings Fourth Quarter and Full Fiscal Year 2025 Conference Call. [Operator Instructions] Davidi Jonas, CEO; and Andrew DeBaker, CFO, will be available to answer questions and provide company insight. Please note, this conference is being recorded. Before we begin, I'd like to read you the company's abbreviated safe harbor statement. I'd like to remind you that statements made during this conference call concerning future revenues, results from operations, financial position, markets, economic conditions, product releases, partnerships and any other statement that may be construed as a prediction of future performance or events are forward-looking statements, which may involve known and unknown risks and uncertainties and other factors, which may cause actual results to differ materially from those expressed or implied by such statements. Non-GAAP results will also be discussed on the call. The company believes the presentation of non-GAAP information provides useful supplementary data concerning the company's ongoing operations and is provided for informational purposes only.
Operator: [Operator Instructions] We have a question coming from Jeff Silver with Corrado Financial Group.
Jeff Silver: Can you hear me now?
Operator: Yes, you're coming through, Jeff.
Jeff Silver: Sorry, sounds like Verizon commercial, I guess. It seems as though you have more activity now as you enter into 2026 than you had in quite some time, Davidi, probably since you assumed the leadership of the company. Maybe, first of all, I'd like to just get a sense of whether you could confirm that. And then more specifically, thinking about the TV and film projects, my understanding is there are sort of half a dozen of them that are -- that you're working on. Can you talk about how these will be funded/financed? I mean, are you taking on the risk of production on your balance sheet? I mean I know a while back that was the case prior to you sort of taking the management role. And then I think the sort of the asset-light model was really the preferred model. Maybe you can talk a little bit about that -- those 2 things.
David Jonas: Sure. I mean IDW has had a number of projects that have been in the, we'll call it, development phase for a number of years, different projects that have been optioned for TV and for film. So I wouldn't -- not that I take credit for any of it because it really is more of the creators in our team. But certainly, the ones that predated me, I can't take any credit for. But in terms of any of those projects that we've optioned and that we're hoping to advance to the next stages in development and hopefully production, IDW is acting in the projects that are active. IDW is acting as a non-writing executive producer where we provide value to the production by being part of the -- not being a financier, but being more of a producer, participating in creative development, working with -- we know the material incredibly well. So being a resource to work with the creators, work with the writers, put together the writing team together with the creator of the book, make sure that there's a cross-pollination of ideas. So we bring value as a creative partner, but we don't have the sufficient resources nor the expertise. And historically, I'd say also don't have the barometer of success to demonstrate that it would be wise for us at this time to take on the financial risk of participating in the financial investment in those projects, reserve the right for the possibility to do that in the future if we see an opportunity that we think justifies it. We feel that we have the right people in place to drive that. But at this moment, we're just going to continue acting as -- I think you had used the word, sounds like asset-light. So I think we'll continue to be asset-light and continue to act as a non-writing executive producer on those projects.
Jeff Silver: Just, I guess, a general question in terms of in terms of strategy going forward. I mean the -- when you assume the CEO role, I guess the first order of business was to really stabilize the company and that took a few quarters. I guess the question I have is sort of the -- as you look forward in terms of organic and inorganic growth, what can you tell or share with shareholders about whether or not or to what extent you're focusing more on growth at this stage, growing the business than, I would say, sort of a status quo. I mean, are you looking at potential acquisitions? Or again, the initial question I had was sort of is the pace of content creation growing? Just sort of a sense of whether or not the sort of long-term shareholders is looking at a situation where maybe the company begins to grow meaningfully over the, I'll call it, short intermediate-term period of time?
David Jonas: Sure. I mean I think that there's -- I'd differentiate between -- I don't want to say quality because that feels like a subjective measure and might not be fair to creative partners. But that's probably the easiest phraseology to use to differentiate between quantity and quality of growth. I mean the growth that I'm most interested in is growth that creates value for long-term shareholders. And so in terms of growth, I wouldn't necessarily say we're expecting major growth in revenue or top line or bottom-line profitability. Like that's -- I do think that we'll achieve growth in those areas, too. I just don't think that it can -- that there's much we can do outside of just getting lucky and being in the right place at the right time and having a hit book, which we'd love for that to happen, but it's not really nothing we can plan for. So I think we'll see modest growth in terms of profitability. And I think you'll -- what you've probably have seen for IDW in the last number of years, there is a decrease in revenue, but an increase in profitability and effective spending, effective management. The growth that we're looking for and that you'll see are things that create value for shareholders, for instance, creating new imprints. So -- and new imprints where specifically we're focused on generating internally generated content where IDW will have pretty much for the first time, company-owned content. So we're working with creative partners, creative partners who are working with us have meaningful upside potential and royalties to earn. And so we want our partners to benefit alongside. But in terms of the ownership of that IP, the ownership will reside 100% with IDW. Are those projects likely to succeed? And their new stories being told. They don't yet have an audience. We're really seeding from the ground up, but they're excellent stories. They're compelling enough to pass the sniff test of our internal team who thankfully have been doing this for combined probably hundreds of years and have excellent storytelling intuition. And so we'll be creating crime stories, hero stories, new horror stories. So I'd say it's not so much that we're going to be doing more, which I think was sort of what you may have seen from IDW 5, 6 years ago, 4, 5 years ago, where the idea was we're going to do a lot more content. And there was a lot more spending and I think something of a spending spree to go out and create a lot of that content. But it was a little bit of a spray and pray method, at least from my observation. I think what we're trying to do is be much more thoughtful and preemptive in terms of what stories we want to tell, what genres we want to focus on and wanting to have as much upside potential for IDW and to think about these stories, not just in terms of is it a good story? Is it a cool story, but how would it function as a franchise? How would it work to create long-term value for us to be able to continue to service the fan audience. So those, I think, are the types of strategic approaches that we're looking at. It's hard for me to say that shareholders can expect some great delivery on this investment. It's nascent, and it's -- I'd say we don't have a history to build upon in terms of demonstrating success with internally generated IP and creating new imprints. But I personally think it's probably one of the most exciting things that we've done since I started at IDW, something I wanted to do pretty much from day 1. Just publishing is a slow cycle. It takes time to generate ideas, takes time to contract talent. But I'm very excited to see those imprints come to -- that some of those are going to start to come out in our fiscal '26. I don't know if we'll see immediately the effects of it, but those are some of the investments that I think we'll be making that hopefully will build meaningful long-term shareholder value.
Jeff Silver: Just the last question as is sort of the obligatory question on AI. I mean, given the rapidity which -- just the speed of adoption and the use for use of AI and the models, large language models of creating content of all kinds. And Disney had their call this morning, and they have got their deal with OpenAI on their characters. I mean, can you talk a little bit about whether or not this is something that you're looking at as a potential positive factor? Or do you see it as a threat? How engaged is the team with what's going on in the AI space?
David Jonas: I'm not sure. I mean in terms of the team, I don't think -- I don't -- I wouldn't say that AI is wide to be used in IDW. I'd say -- I have to ask every single person who works at IDW if they use it. There's no mandate to use it. There's no preclusion from using it. We trust our staff to effectively manage their workload. My expectation is that very few people are using it in any sort of creative way, if at all. I think AI is a tool like any other tool and that I think there will be use cases that might make sense and there will be use cases that don't make sense. I think for a creative industry; it's particularly a conversation and that requires even more reflection because we're dealing with human creativity. I think if we decided that we were going to put out AI-generated material, I think that would probably not be well received because this is such a creative-driven industry, and it's an industry where there's a real relationship between fans and creators. And I think there's an expectation of relationship between fans and creators, and we honor that. So I think bringing AI into that -- as an intermediary in that relationship is a potentially dangerous consideration. So I think that it's -- I think this will be a conversation for a long time to come in the industry at large. I don't see any immediate areas where IDW would plan to employ AI in any sort of commercial or creative way. So I guess that if people want to use it for task management or anything like that, certainly up to individuals to use technology as they see fit. But I just think that our team is not -- doesn't see it as being of creative benefit. And if anything, I think our team sees it as potentially being detrimental to the relationship between the creators and the fans and detrimental to creators even before it gets to the fans because it could undermine the work that they bring because then there's just a bot that's trying to mimic what they do. But like you can't recreate the Mona Lisa. You can try to aggregate and create something that's like it. But part of what makes art special is the human touch. And we're a creative company. We create art. We create stories and we do it with people. And I think that's going to continue to be how IDW tells stories.
Operator: [Operator Instructions] We have reached the end of the question-and-answer session. This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.